Operator: Good afternoon, ladies and gentlemen. Welcome to B2Gold Corp. Second Quarter and First Half 2017 Financial Results Conference Call. I would now like to turn the call over to Clive Johnson, President and Chief Executive Officer of B2Gold. You may proceed Mr. Johnson.
Clive Johnson: Thank you, operator. Welcome, everyone to the call. We're here to discuss the results from the second quarter this year and also for the first half of the year and we've got the full executive team here in Vancouver or on the phone, and the idea is to of course, first of all, walk through the overview and for me to walk through the financial results from Mike, and then we'll talk about some of the things coming up. Things and then we're really, sure open up to questions and then see if we can answer the questions that you may have. So in terms of overview, the second quarter results and the half year results were strong in terms of the financial side. Obviously, as everyone is aware, we put out our release about 10 days ago, about a minor miss, modest miss from costs from Nicaragua, and we, on the basis of that, some of the things, we took a pretty conservative view, I think about coming up with a slight reguide. Now at the end of the day, I'll mention here today, we are pleased with the progress and what we continue to see Otjikoto and Masbate and we have quite a bit of time on analyzing Nicaragua and where we are and then the steps we need to take to continue to improve production and some of those are on the way now so we can speak to that as well. So at the end of it, in terms of the cost guidance of the year, for the full year has not changed and over all, another positive year as far as we're concerned from that perspective. In terms of the overview, the company today, obviously, the results are important as they always are and one of reasons that we've been able to grow this company was hoping you could or would over the last 10 years has been our operating performance. So we're very proud of that and not loss to us so even though we miss was minor, we're not happy with the situation and we'll take the steps needed to be able to do that. Fortunately, we've been very successful in Otjikoto and Masbate has helped the situation. Obviously, the big thing coming up as everyone is aware that sometimes people forget, maybe the force of the trees when we at the numbers at Fekola is close to starting production in October and we'll have an update from on that on the phone as well we can answer any questions with that obviously there's a huge canvas of the company and I understand when people are to look at the coming sometimes they want to talk about who's trading there, opposite there, et cetera. Whatever 550 or thereabouts you produce and are about to become a 99 50 in the very short-term on an annualized basis so argument for dramatic impact on the company, increasing correction by 65% and significant growing operating cost consolidated basis in the impact that we'll have and the company not very far from now in terms of revenue cash flow operations et cetera, et cetera. So the market serviced, places anyway exposition for him is looking at our chart for the last year and the gold price index explaining so why we performed rather coolly given the fact that what we've done and where we're going. So it doesn't really matter, I guess the big deals they will come and we're on the verge of fundamental change in this company in so many ways. And makes us feel pretty good about our strategy, which is just joined the ranks of people that couldn't do deals I wouldn't do deals or wouldn't do deals and grow because you haven't been very good you haven't behaved well and very good at your business. So we're pleased to see this is one of the major steps in our strategy of continuing to try and a lot ourselves up for growth. So in addition to that, one of the drivers in addition to Fekola is going to be exploration and as everyone knows, way back to be. And also, the B-2, we've always seem to have that excellent exploration success after acquiring deals equitably without paying for upside. So Fekola is a very exciting opportunity there and were also seen some significant new discovery summit Burkina Faso. Tom is going to talk to those. Those are very exciting new development of the mode will talk somewhat about and tumble give you an indication what we think is going there and there we should be able to come up with the next couple of weeks amount of your posts exciting development so I think with that for now as a bit of an overview. I'll pass that on to Mike to give you a fairly rapid, concise summary of the financials, which you all have seen by now, and then we'll do a few of the business image and then we'll open for questions. So over to you, Mike.
Michael Cinnamond: Thanks, Clive. So firstly, I'll walk you through the income statement. Revenues for the period were $164 million almost identical to the prior quarter last year, that's a function of 1% drop in the gold price, offset by a 1% increase in gold ounces sold. On the production side, for the second quarter in a row, we beat guidance again so consolidated production was 121 [indiscernible] ounces, which is just over 1,600 ounces higher than budget. The component parts of that, it was driven by, I think very strong performance at Otjikoto and Masbate, offset by lower production and originally guided numbers for Nicaragua's Clive alluded to talk about the individual man Otjikoto had 41,000 ounces over 5,000 ounces more than budget. This was mainly driven, the great from what Scheidt and Phase 1 has actually being models so far and we're kind of studying to see how long we think that will continue. That also drove higher throughput through the mill. And so as a result, we guided our production at Otjikoto to between now 170,000 and 180,000 ounces. We are now also looking at finding ways of how we think will fall in the main life of mine plan as we go forward. We expect to have that by the end of Q3. For Masbate, Masbate has just under 50,000 ounces for the quarter, which again was close to the 6,000 ounces higher than budget. Masbate was driven by higher driven mainly by higher outside content. We had some mill feed, which is 67% offset compared with what we originally budgeted, which is 22%, that's up to drove higher throughput resulted in Masbate had a very significant margin. So again, we guided upward for Masbate, and we're now guiding to between 180,000 and 185,000 ounces for the year. And moving to Nicaragua, firstly, Libertad. Libertad had 22,600 ounces, which is about 4,000 ounces less than the budget and that was driven by lower grade. We got lower grade from, Central during the period and we also, there are was a delay in the timing of accessing somewhere from the old 100-gram. We discussed previously in previous calls of that we are also looking at the sequencing. In Libertad, we originally planned then we'll have an antenna open pit coming through in the second half of the year. Now with the sequence that in the planning to bring new areas in San Diego and in the second half of the year, and also to access some of that underground downward, the weigh in, in the first half. Taking all [indiscernible] and support government in order to get those requirements to get those areas online. We have reguided downwards for Libertad. We're now forecasting guidance between 90,000 and 100,000 ounces for Libertad for the full year. Drew mentioned as well, bringing these new areas online it also the plan is to have heavily antenna, string in the first quarter of next year and with that, we think we'll return in 2018, 2019, we'll return to production levels that we've seen in prior years. And moving to the Limon. Limon has just under 8,000 ounces, which is 5,000 ounces less than budget and that was driven by water fixed relation and 100-gram which used the volume that we were putting through the mill, the higher greater ore that we put through the mill. We think those water issues have now been bought well under control in hand, and we expect a return to normal production levels by Q4 of this year. However, factoring that in, we don't think that we're going to reach original guidance range, for the full year so we guided for Limon to between 40,000, 50,000 ounces. Overall, the consolidated basis, so 121,000 ounces for the quarter and with our reguidance range, looking at where we are and what the company coming on, we regraded down slightly lower for the full year production to between 530,000 and 570,000 ounces. On the comp side, consolidated operating contributed significant basic budget. [indiscernible] Cash cost for the period was $631 [indiscernible] an ounce, $81 better than budget and bearing on the trajectory in that same positive performance we saw in Q1. Again, Otjikoto and Masbate was the standard operations and drivers of that. Otjikoto had cash cost of $524 an ounce. $200 less than budget and as the function of the higher grade that we saw, higher production in the period and lower fuel and obligation costs. So with that, we've reguided. Otjikoto's total operating cash cost for the year is now between $480 and $525 an ounce. In Masbate, operating costs of $515 an ounce, a gain almost $200,000 an ounce less than budget. Again, a function of that higher production level and also lower processing general costs. So we've also guided improved comp Masbate for the full year now. Our new guidance range is between $595 and $635 an ounce. And then on the Nicaraguan side, Libertad, $841 an ounce, that's $120 less higher than budget at Limon, 1,300, just over $1,300 an ounce and $1,600 an ounce outside of budget. And Nicaragua's the proportion of the overall production levels, but we have lifted with our revised production guidance for the year. We guided upwards now for the cost of those so Libertad, we now think it will be between $795 and $835 an ounce, and Limon we think will be 8 50 and 8 55 an ounces. Overall, when you take factor performance and Otjikoto in Masbate and a higher guidance for Nicaragua, we still think we're going to come in at our original guidance range of a consolidated basis for cash cost in between 6 10 based on [indiscernible] an ounces. Similar story on the all-in sustaining cost. Total consolidated all-in costs for the period were $974 an ounce, which is again, almost $200 better than budget, that's a product of both the positive operating cash costs performance and also just timing of mainly timing of CapEx, purchasing of mobile equipment and some stripping costs. We have reguided again downwards overall for all-in sustaining cost for individual operations, we reguided so I'd Otjikoto, it's now 7 25 to 7 65. Masbate, down 9.35 to 9.75, and then on Nicaraguan side, lifted up of it so Libertad is now 10.75 to 11.15 an ounce. And Limon's, 14 15 to 14 55. Story of the overall consolidated basis, so no change in our overall consolidated moments across the range of between 9 40 and 9 70 for the full year. And looking forward, obviously, we're very excited to announce coming on stream soon. We're only a couple of months away from that now so the first, and we went both on legacy previously indicated, we expect to see our cash cost all-in sustaining cash cost come back to the sort of record low levels that we saw and reported in 2016 to cash cost of in the range of 500 to 530, and all-in sustaining cost somewhere in the range between 70 and 8 10 an ounce. Very positive for Fekola life much bigger proportion of the overall production, and we expect to see higher revenues and significant dramatic change in overall operating cash flows. So I think that's what I'd like to highlight on the operating side. Let's look at the income statement. Nothing of very significant highlight in the cost of the convertible notes obviously we seen those go up and down we believe it's a small gain this period and as get closer to the end-of-life and trading 106% face value both premium in their a smaller premium previously. Some movement in derivative gains and losses. Those were driven by some go forwards, that we have on our original revolving credit facility and on our -- we required put forward on Otjikoto GoldMine and also on some June hedges trading rate of about par. Overall for the period, earnings of $19.2 million, which was $0.02 a share and on an adjusted earnings basis, where we strip mainly noncash items, adjusted earnings were just under $13 million or $0.01 a share. I just comment on a few things and then cash flow now. For the period, we have $48 million, for the 6 months, $88 million from cash from operating activity so that translates into cash flow per share of $0.05 a share for the 3-month period and $0.09 a share for the 6-month period. On the financing side, we announced, I think we put a press release about 3 or 4 weeks ago now, just highlighting and giving details of the new upside revolving credit facility that we put in place. [indiscernible] than we had before, but we've up with the total amount available on the facility now to 500 million, it was previously 425 million. And also that facility for your 4-year maturity, maturing in 2021. I think that gives us more flexibility with bigger amount, and that's the approach now. More flexibility we can either use it to repay or prepay convertible notes and/or any sort of acquisition other than general corporate activity that we put those monies too. We did draw $50 million in the compared to we've drawn cumulatively $250 million. Now on that side, $500 million facilities so we got $250 million left so less liquidity there. Further down in investing activity, we signed a total of 150 million in the 3-month period, the biggest component by far is the Fekola, where we spent 75 million. Fekola continues to be right on budget. We're still forecasting for to come in higher budget for what we originally guided and as we think it's coming online earlier than we originally anticipated October 1. Those $75 million cost and they're also included some cost that we accelerated that the mining activity from Fekola, so we have it acres stock than we originally planned and I think you'll hear some more about that later, but we're building after so we think we can come out and see the 5 million overall. Overall, $150 million CapEx is a little over than budget, but mostly that's due to timing so we expect total guidance CapEx budget will be incurred sort of once we get through the whole year. Overall, we ended the period, $88 million, cash in the bank and like I said, we have liquidity of another $250 million on that revolving credit line. So we think we're in good shape there. I think that summarizes the main item that I want to comment on so I guess, we can take questions at the end, Clive?
Clive Johnson: Yes, I think we'll take questions at the end. Thanks, Mike. Just a couple of nice, add a little bit to what Mike said. I think one of the positives about Fekola and that only the ability to do it and the kind of market we went through when it was still in common to be growing favorite is the fact that we actually funded Fekola with the equity and we didn't take on amounts of debt that and it made us or any of our significant or shareholders that I know of, so I think that was a great success, and that's Q2 our performance so I think I alluded to earlier that the platform production good performance, give us a platform and then obviously great construction, and all the blessings [indiscernible] et cetera. So I think that was quite an accomplishment to be able to do that and as Mike mentioned, we're in a strong position financially and there's no better indicator, I guess how your relationship with your banks is to have that continue to increase your facility. So obviously, that's been very successful. [indiscernible] bunch of banks who some years ago, we get back we were doing they stepped up and said, "We think you're going to be one of the significant gold companies of the future, and we're prepared to put our money our mouths are." So that's very much appreciated in recently, CFC added their name to the syndicate. So the ability to lead to work with that good banks and financial management also HSBC, Stockton, Nova Scotia in addition to CIBC. Okay, I think that we'll move on now and we'll get an update from Bill so we can have [indiscernible] Fekola and go head, Bill.
William Lytle: Okay, as Mike indicated. Fekola continues to be on budget and on schedule, 3 months ahead of schedule are the original schedule. Just quickly, walking through everything, we're greater than 90% complete everywhere. That was at the end of June so actually right now, we're very close to 98% or 99% complete so the takeaways are basically everything is on-site and we're starting to commission. If you look at starting in the mine, the entire mining team is in place now, all the mining equipment is on-site. We've been doing hard rock drilling and blasting since May. We currently sit with more than 1.1 million tons of material on the ore stockpile. And then if you look at the actual milling circuit, all of the major equipment is in place. We're really talking about now is handing over the commissioning team, so some of the early commissioning has already started. The powerhouse is continuing to be commissioned. We have enough power now to start commissioning all of the middle piece. The water that we need to run the mill is being accumulated in the water dam. We have both an underground borehole and water coming in from the river. The milling team is growing everyday, all of the SLPs have been developed. They've been training on-site now for several months and we anticipate to have 4 in the mill in the first part of October. I don't know if you want to talk about anything else, Clyde.
Clive Johnson: Well, I think that's a good overview of what's happening. So, okay. Thanks, Bill and obviously, there'll be some questions coming up. Just as a couple of points about Fekola and listening to the I out talk about a little bit so I think that's of that they ever figure out Monday, but at the end of the day, I'm just what we've done there, the accomplishment, I think it's worth underlining and I think we should get more shareholders down there, we're going to go down next week, but we do everyday whether it's one of our mines or whether it's a project like this. So not only every 3 months we're ahead of schedule, which is a pretty tight schedule to start, 25 months, 3 months ahead of that, but in fact, don't forget we also decided to the expansion, trend construction so at Otjikoto, we decided alluded expansion and plan to do the year after we started production in great wrap up, 2 months and that was sort of a general plan here at Fekola was to map, be able over both things to be able to ramp 4 million to 5 million tons a year within their first year of production. Construction done so well that the guys answer anyway, but became and said to us well, we think we can do the same job. We'd like to do that so I think it's just a matter of you have to love this team and this quite remarkable team very few companies have the pleasure of having. It goes back to a long time, it goes back to Russia the anything I like to think it's an example of what we're about to go through, which is royalties and two-way street. So a remarkable team and just a tremendous team of people going and building mines and incredibly safe way and tremendous, but also with Fekola and we're very much excited about the startup on that construction team. We've got some things for them today and then of course, we'll be looking into the future, continuing to use that team to build more mines. This is #5 on budget and ahead of schedule. I don't think that gets emphasized in my opinion in the market enough, because so many companies have a team like this. And how many do it the way we do it, and I just think that [indiscernible] significant, I think that's the reason why we succeed and it's a great business model plan, if you have it. It takes years to take construction team together other strata do it if you use contractors as well some are greater some aren't and I think we all know. So I think with that, I'll pass it onto some to Tom to give you an overview of some of the -- we get a lot of explanations going on, and he'll give you some of the material of the material indications we're having so far with a lot more I think to come out over for many months of the year in terms of results.
Thomas Garagan: Thank you, Clive. I'm just going to talk about a couple of the highlights we have an exploration and talking all the things we will be here for a few hours. So just we recently added an additional $2.5 million to the Nicaraguan exploration based on the results. So a total expiration budget now in Nicaragua is just over $14.5 million in total for exploration worldwide is now $55.1 million, that's an increase of almost $10 million from the original budget at the start of the year. Let's start with Nicaragua. Just specifically, as I alluded to at the AGM, we found a new area that seems to have some legs to it. We've been drilling with 5 drills nonstop now for about 6 months on it. New area is about 1.4 kilometers long, about 200 meters deep and it remain solid so within it, with the largest zone [indiscernible] 400 meters is all on the same structure. The zone dips above 30 to 45 degrees and so the preliminary look we had suggests that it's going to have us relatively strip ratio that a significant heifer advance the stem with a band width of 6 to 10 meters wide. We believe that the whole thing is going to be biddable so with increase in budget of an additional $2 million for their specifically, we're hoping to get most of this zone into inferred and indicated probably half of it is integrated so we started doing mine planning by year-end. As Clive said, we plan to come up with a release with the budget for during the next couple of weeks. Onto West Africa. The drilling is now shut down in Burkina Faso for the rainy season and will do the same information here shortly. In Burkina Faso, specifically Toega, we've drilled off a fairly large area that remains open to the North and Northeast regions on the north side of his own and around 250 meters of vertical depth and continuous with the mates of the we've seen so far. We've hit almost 90 meters and 2 grams. So the zone is still open. It still is fairly thick with grade and that will continue once it rainy season is over, we'll continue drilling in that area. At Fekola, we currently have 8 drills working plus an auger. The drilling is focused on the Kiwi area, both near surface and the extension of Kiwi into the Fekola Deep zone. We believe it's all part of one body and we're also drilling on the edges of Anaconda, the saprolite and now started drilling into the salt pile zones that we believe feed or created the Anaconda saprolite. As I said, this drilling will probably shut down within the next couple of weeks for the rainy season and once we started getting all the results back in, we'll come up with releases on those, probably I would guess September, October. So we're on that time.
Clive Johnson: Okay, great. Thanks, Tom. And just a couple of things I'll touch on that perhaps might be germane and maybe you won't take questions on, but you can the questions on. Let's talk a little bit about where we are in the Philippines, just a lot of discussion about the government and that [indiscernible] for the last while and we've made our point clear before that we've -- we are the gold standard and one of them for sure in the gold mine space in the Philippines as we move everywhere, but that's not lost on the government. We recently got a pretty major award from the DENR, so we see some positive changes there, in changes in some administers and we also see a positive view from the government including the present conference, you've had each to the mining industry the, question a couple of weeks ago and suffice to say about mining and role of mining is merrily responsively and taking care of local charities and creating jobs, et cetera. So we stack up very well overall, but we think it's just important to remember that with the Chris got a look at the came up very quickly [indiscernible] stop people tried to signal that they work realize role to play in the Philippines, but another poster they just wanted to be done by readily responsively and as I said to creating good jobs and paying taxes taking care of the social podium et cetera. So we view this recent speeches as a positive sign. Some sometimes it's just confusing. We understand that sometimes it confuses us, but the core reason is that because there are some large mines in the Philippines of other metals. I know, other than gold at our perhaps some of the ones that are truck at some of that negative some of the higher about environmental responsibilities and the lack there of. All kinds of group together mining industry dipping their arm differences and we find any belief in an environment, which whining we in at one time ago in been a [indiscernible] safety for people in community relations. So this is nothing new for us. Sometimes I think in the nose of some of the bigger other metals producers and some of the backlash, the work is kind of caught up in that and we get sometimes targeted with that same brush so we think it's probably going to continue to perceive divergence there so we're quite positive about what the reason comments and developments were set as part of the were going to be due to the successful operation, which is 93% of the local economy now in Masbate. So it's all about sustainable mining, and that's really seems the government was opportunities [indiscernible] suggest that's been a case have been a great job in working respectfully with the government in dealing with a lot of his shoes under Schapiro and great job in Manila. Finally, just M&A, probably a question on that. We've obviously this is a major step forward here with Fekola and should set the scene, or set the stage for potential additional accretive growth? But for us, what we have and the impact with Fekola coming out, it's most likely that we would want to see the rating of the company to be able to do any significant transfer of acquisitions. In the meantime, if we find things make sense, we're obviously, looking in the idea, were pretty open as everyone knows from being taking things from discretionary expirations or some stage of explosion or something that's disability states by think acquisition more even production merger type of scenario. Electively, we're talking about so what's going on, but we're pretty open in terms of the spectrum of potential acquisitions. Having said that, we fundamentally believe that as we get through the next while here, that there should be the rerating of B2Gold. If where we are today that I would sit as all of that both are lower because the gold price must went on the review new position at it FedEx value and makes it easier to find potentially more likely to find accretive deals. The focus of the B2Gold has always been as part of the success, discipline, due diligence done by ourselves don't selling high just purchase price and done pay for something that requires expiration success over higher goal press to adjust for that price. Sounds like the fundamental business principle to me what you'd be surprised as many know how offer that is often follow in the sector, so the best way of course we're concerned are great way to grow is through the us we're doing it. So tremendous targets. So Fekola, and also the CAGR project including in some of these we're starting to see author in center so continued strong focus on high-quality Brownfields, but also very exciting results, which defined in the obviously extremely obviously potential for the future Fekola project and some other things there as well. So we'll continue to really emphasize exploration to see what we have there. So I think that was what I'll give you an update on, but obviously, open for questions operator, you can open it up for questions now.
Operator: [Operator Instructions]. And our first question today comes from Rahul Paul from Canaccord Genuity.
Rahul Paul: Great to see Masbate and Otjikoto continue to do very well, I look forward to Fekola coming online soon. On the cost performance, all-in sustaining cost, looking specifically at Otjikoto, look likes I see was 725 -- $726 an ounces below budget. Cash costs was $200 an ounce below budget to that part of it. Was the remainder entirely to do with capital difference and if so, should we expected to be incurred in Q3 with some of that be deferred to Q4 or possibly in the next year as well?
Clive Johnson: There are two components to it. One in our mobile equipment purchases, that we comes through the next 2 quarters so that's the timing issue only. And the other component was there were some stripping cost that we literally felt we can capitalize, but since it's for the operating cash cost so we gain that was being incurred and will be incurred for the full year. So it's really just the timing issue.
Rahul Paul: Okay, fair enough. And then Tom, the exploration results at Limon, I know you mentioned the book value a little bit and I guess we're still waiting, you said you'll be putting more information soon, but at this stage, does it change the way you view the asset? Or is it too early to say at this point?
Michael Cinnamond: I think it definitely changes the way we look at the asset, absolutely. Behind the scenes, there's a fair amount of work now being done by the engineering group. We've given them a none publishable resort, which they can start to play with and they're starting to do studies of that as we talk.
Clive Johnson: And I guess that is the conversation really we believe that impact there's a minimally -- as a minimum accretion, but again pretty dramatic, that's been things will always be looking at is what about potential expansion, et cetera. So can the month keep some of the bigger ideally it was bigger the year 2000 and produce 100,000 ounces of gold because the grade was almost double so that was with the mill, not even when it is now so will be looking various things decrease management also potential expansion so I mean that's had a big mine, but it is a pretty potentially pretty good development for us.
Rahul Paul: That's great to hear. And then last question at Fekola. Bill, how do you see this -- has the rainy season commenced in West Africa yet? Mean what's the duration like? And do you expect the stockpile to continue to build during the rainy season? Or do you expect things to slow down and draw down and then it will start again?
William Lytle: Yes, so the answer is we're in the rainy season now for sure. The rainy season typically starts kind of end of June, beginning of July and then goes through, let's say end of September and mid-October. One of the things that we did do, which was very valuable is we actually put the GM and the mining manager on-site early on in this project, so they actually adapted the roads and made sure that they were all weather roads. So we've been running right through the rainy season. For example in July, we added an additional, I think 400,000 or 500,000 tons to the stockpile so we will continue to see that to grow, certainly there's days where we're going to have hours off, but we've been able to run mostly through the rainy season.
Operator: Your next question comes from the line of Ovais Habib from Scotiabank.
Ovais Habib: Great quarter, guys. Just wanted to have -- ask a few questions. On more, Mike if you could give me a couple of updates on how things are moving along with ownership agreement at -- for Fekola? I mean, first 10% is carried, you guys were actually negotiating on the second 10%?
Michael Cinnamond: We have evaluation agreed we're just in the process now hopefully in the next couple of weeks just finalizing the mechanics of the agreement how will pay for it and how we'll deal with it so I think that's very close to fruition and finalization on the second 10%. And similarly, the shareholders agreement that we have with the governments will also be finalized in the very near term.
Clive Johnson: I think at this point, we categorize this negotiation some of the agreement. So this was we see right now, and that's indication that's the same for both, now we've been doing shortly after next week, looking to take the final documentation steps to finalize.
Ovais Habib: Perfect. And then just Mike, also, second question for you. In regards to the prepaid's goals sales of -- we've seen over the last quarter and then you did the larger one previously as well. is this something you guys are looking to use going forward as well? Or is that the last kind of what we've seen?
Michael Cinnamond: Well, what we did was we put on originally 120 million in 2016, as you know, and funds for Fekola in just over 100,000 ounces and that was based on the gold price to around 4.50. We actually like the gold price that we saw in the first half of the year, couple of locations over all over here was relaunched get ready to were back goal of 120 million, [indiscernible] 100,000 ounces so it's more opportunistic it's not that we need to do it, but without we just reload back to the level we were in.
Clive Johnson: Our long-term view when it comes to any part of hedging is the fact that we didn't really -- given that was a corporate facility, the Fekola, we did not have to go there and when you're building a low-cost mine like that, you obviously we believe in the meaning that for shareholders so there's no change at the end of the day, it was a great instrument, I think everyone knows the not to equity on the month that we were, tied of equity to raise them in the very innovative financing for both space and it was great for what we did it for opportunity to raise them out and we've got that was something that was worth doing.
Ovais Habib: That make sense. Just moving on to Bill. Bill, we have had some discussions on and Tom as well, we've had discussions on the TV zone next to Fekola and how that could be impactful to the Fekola overall? Can you guys give some color as to how you guys are moving along there? I mean, is there more expiration work as necessary you guys don't start including QE into Fekola or is there other studies that are going on that you guys are working on?
Thomas Garagan: The drilling is still aggressively going on. There are preferred QE isn't so to a point that we can do a reserve on it, but the zone between the upper part was Kiwi and Fekola is long ways away from having a resource on it. It's going to take a lot of drilling and we're not there yet.
Clive Johnson: In terms of some goals from that type of drilling.
Thomas Garagan: Yes. Again, as I said earlier in the timing September-October from results start to get that pretty good indication of what's going on.
Operator: Your next question comes from the line of Lawson Winder of Bank of America Merrill Lynch.
Lawson Winder: Just on the Fekola stop outs from me again. I believe I read in the MD&A that the average gold grades were in line with the geological model. I'm curious when you say geological model, do you mean the average reserve grade? Or might be the original mine plant? Because the mine plant has obviously changed a bit since the mills has been upsides there.
Thomas Garagan: This would be the reserve grade model.
Lawson Winder: Reserves? Okay, so in line with reserves, that's great. And then you'd said that you added something like 350,000 to 400,000 ounces -- tons rather to stockpile in July and you said that you would continue adding going forward, but is that a fair rate?
William Lytle: Yes, it is.
Lawson Winder: Okay, that's great. And then just finally for me, on Libertad. So my understanding is that San Juan, San Diego and Mohawk underground would be currently defined as an inferred resources in the year-end 2016 reserve and resource statement. Is that correct? And if so, have those been upgraded? Do you have more confidence now in the grades of those deposits?
Thomas Garagan: That's correct that's how it's reported in the PSE. The only one that's been upgraded to indicated and that hasn't been published yet, because that's internal for us or for the planning, is Topay, which is now called San Diego.
Lawson Winder: Okay. And if you just, sorry quick follow-up for me. There was something like 400,000 ounces of gold in the year-end inferred resource statement. So if you take Tope, San Juan a ball on underground, would that be -- would that add up to the total 400,000 ounces? Or these are just a small, smaller proportion of those?
Thomas Garagan: Those are smaller professions the big proportions at 400,000 ounces comes from Montana. I will make a comment to your question about that. Mahon underground and Antenna underground, the inferred resources there, they're drilled off to from an up and perspective would be easily indicated is so there what we call soft indicated, internally we call them soft indicated so from a classification point of view, they would be inferred some companies would have them indicated, we're a little more conservative here.
Clive Johnson: Bill, can you just clarify the stockpile a little bit we talked about July. Can you just talk about where the stockpile is supposed to be, when and where we are obviously, the question is I think a little ahead, but what do you see for the stockpile as we look forward to the next few months and what it should suppress to be at when we're supposed to get there?
William Lytle: Yes, no problem, Clive. So originally, when we brought forward the mining fleet, the concept was as you pointed out earlier, to make sure that we have enough feed to feed the 5 million ton per annum mill. And so internally, we decided on a number of around 1.6 million tons and so that's what we're shooting for in October. At the end of June, so the end of Q2, we had about 750,000, [indiscernible] about 740,000 tons. The end of July, we had 1.1, and we continue to go along on that schedule so if you look at it, we should easily make the 1.6 million tons.
Operator: And your next question comes from the line of Chris Thompson of Raymond James.
Chris Thompson: Great, great to see such solid quarter. Congratulations. Just got 3 quick questions. I will start off with Masbate. I'm just trying to get a sense of what the mine plan's going to look like sort of post Colorado. My sense is obviously that's going to be depleted next year. I recall, we're looking at Montana and Pasio over the next, I guess deposits to be mine. What can you comment? Can you comment on metallurgical characteristics obviously to? Are they comparable in any meaningful order or more like the Main Vein?
Michael Cinnamond: A comment on Montana, which will be the next permit process. That would be more characteristic of similar characteristic to maintain. Flat held should it come in to first it will be more outside.
Chris Thompson: Okay, great. And so is Montana permanent then, that point are now? Are they ready to go?
Michael Cinnamond: We're ready to resubmit the permit. We submitted the permit last June and we're ready to resubmit it under the new DENR regime.
Chris Thompson: Okay, perfect. Then just quickly moving on to Fekola. This is, Bill, this is one for you. Fantastic news. Everything's going along nicely there year, anything that keeps you up at night there?
William Lytle: Well, it's more operational stuff. I mean, certainly the team on-site has done a good job of getting everything on schedule. I mean certainly, you want to make sure that the powerhouse continues on, and on schedule you want to make sure the lasso drip drops and dribbles will show up, but overall, we got a very high degree of confidence these things going to work.
Chris Thompson: All right, perfect. Finally, Tom, this one's for you. I mean it's good to hear that the positive exploration news is coming from Limon, but is there anything that excites you about Libertad at the moment from an exploration perspective?
Thomas Garagan: We're not exactly having a lot of joy at Libertad. We're better, lose all things, but nothing -- I can say that we've got another Montana or I'm sorry, another Mahone or heavily. I think everything that we're getting right now is similar sort of size as Tope. It doesn't mean we're not trying. We're spending a fair bit of money at this point, and I can say there's anything big
Clive Johnson: As we know it, from the recently [indiscernible] this infrastructure.
Operator: Your next question comes from the line of Jeff Killeen from CIBC.
Jeff Killeen: I'd like to start with Bill, if I could. Lots of questions asked on the stockpiles at Fekola, certainly looks like a pretty consistent growth within that number. Could you give us a little more color just on the mining itself? It seems like it's been going well, but just in terms of the blasting, really the blasting unit cost. What's the overall blast sizes that itself reconciling to your blimp?
William Lytle: Well, certainly I mean let's start with the unit cost. There's no way at this point we can talk about unit cost, which is now getting into the hard rock. So we don't really have a handle on that, but certainly, all the initial work that we've done has borne out, but we had in the feasibility. We don't see anything, which is outrageous. We did adjust a little bit originally the design was that we were going to mine just in the Phase 1 pit. But what they decided to do to give themselves a little bit of optionality is actually opened up the phase 1 and Phase 3 pit, so we have about almost 10 million tons of material to include waste and ore that we've taken out of Phase 1 and Phase 3 pit and it all seems to be going very well.
Jeff Killeen: Okay. And then just a couple of follow-ons. Not thinking about grade numbers or anything like that, but just in terms of being able to recognize ore versus waste as a mining and the transition from oxides to the fresh rock is that pretty much in line with your expectations?
William Lytle: I think -- I'll let the geologist talk a little bit about it, but certainly, everything we've seen has been in line with our expurgation. I don't know as we go deeper what the geologist would say.
Thomas Garagan: You should be able to see it.
Jeff Killeen: Okay, very well. May be switching to Dale in Masbate. You noted in the MD&A that you're transitioning out of the main thing number one. So for the second half of this year, would it be fair to say that you'll see some movement downward in terms of grade, in terms of recoveries as you get out some of that more lower oxide material out of that Main Vein then to.
Thomas Garagan: The main driver on our throughput and recoveries has been material coming from Colorado Pit and that's going to continue. Remember, we done that we build through the front end of this year, we forecast based on that and held through our forecast numbers. We see 65% to 70% off site processing through the year the majority of that coming from Colorado Pit so that will remain unchanged. So sources go from Main Vein 1 to Main Vein 3. That provides primary ore, the material that was transitioned [indiscernible] off site and its the impact that we see in the oxide content [indiscernible] .
Jeff Killeen: Okay, very well. So it looks like you could finish very strong there. And then lastly, perhaps for Mike, just on the upsize revolver. Would you expect that you may dip into that any further over the course of this year just to maintain help your cash balance? Or would you look to that just as a potential back stop if there's any hiccups?
Michael Cinnamond: I think we'll accelerated Fekola, the construction schedule. They'll bring it online on October 1. I think we'll different at a little bit more just until you get to that sort of earlier start date at the end of September, start of October because we don't have the balance the last room as operating cash flow so I think we'll dip into a little bit more, but we'll still have a very healthy margin on it.
Operator: Our next question comes from Stephen Butler from GMP Securities.
Steven Butler: Guys, the 1.1 million tons at the end of July, Mike, what would be the, Bill, excuse me, what would be the grade approximately in the stockpiles for Fekola?
William Lytle: Well, I think we've been a bit, or a bit dodgy about what the grade is, simply because we don't want people to take the tons and multiply it by the grade and think that's what we're going to produce because it's not a 1 to 1 obviously. Some of it will be blended with hard rock as it goes in. What we are saying is that it certainly is in line with our expectations and we're very confident on what we've got there.
Steven Butler: That's fine. We stretch I think on the last conference call, you said near 4 grams, but we'll take your comments here into consideration. At the Limon, Tom, this new area where you're drilling, remind us again on the I'm looking at the plan map from that to Investor Day, where we located here on this new area of open pit potential?
Thomas Garagan: That's the wonderful thing about Stephen. We didn't actually shown where it is. As you're well aware, Nicaragua has issues with landowners, service landowners and has issues as well with small miners so we tend now to tell people things are hopefully [indiscernible] .
Steven Butler: All right, that's fine. What are you seeing? Are you seeing wider veins than normal here? What sort of more unique or about it? Some upgrade?
Thomas Garagan: It's a little bit wider, the biggest thing about it is because it's shallow dipping and a bit wider, it's all going to be. And as well within the striking distance of the mill, everything that we need.
Steven Butler: There's been history of some open-pit mining or not on the Limon, historically, no?
Thomas Garagan: Well, certainly, Limon has always had an element of open-pit mining to augment mill throughput.
Steven Butler: Okay. And then lastly, at Toga, the Toga party, twega project resources coming here at the end of third quarter. Is that likely to be a combination against year of inferred indicator? What's your kind of characterization of thinking?
Thomas Garagan: It'll be a combination as indicated. Especially in the last [indiscernible] the rate on the edge so they're not going to get indicated.
Operator: [Operator Instructions]. And our next question comes from Geordie Mark from Haywood Securities.
Geordie Mark: Just maybe some questions to bill, If I can. On Fekola, when we're looking at the commissioning size, what are you looking as a reasonable time through sort of commissioning through the crushing circuit then? And then a reasonable time once materials have been introduced to the mill to get it through the, I guess leeching and into charge for the carbon throughput?
William Lytle: Yes. So I would be happy to give you my opinion here, but I think John Rajala is on the line and he's probably the most appropriate to answer that question.
John Rajala: Yes, John here. We're actually commissioning the crushing circuit this week on the waste rock. We have the crushing manufacturer at site so that's going to be completed this week. Most of the work that we're still completing on the process plant is around the grinding mills, and we're expecting to have what we call cold commissioning completed by about mid-September and then after that, we will start feeding the rock into the plant, and we're expecting 0 7 to 14 days on waste rock and then low-grade rock and we should start feeding ore into the mill about October 1, that's our target date. The ramp-up, we expect to be at design capacity by about the end of the year, possibly sooner, depending on how things go.
Geordie Mark: And then moving over to maybe to Toega, maybe following on from Steve's question there. In terms of the obviously the recent drillings, you showed some interesting results at pit. When you're talking about the breakdown of, I guess indicated from third resources, you're look at ultimately acted that in part effectively being at that and along with that strike extent, is that where you should sort of the see this sort of onion skin or there are other parts [indiscernible] to?
Thomas Garagan: There's got to be a little bit zone, but most of the [indiscernible] downward.
Geordie Mark: Okay, excellent and with the work on the conduit, if you're looking at the materials, is that similar salt mineralization to what you're seeing at Fekola? Or maybe QE? Or maybe that is something different again?
Thomas Garagan: Well, we're seeing several different -- we've seen something brand new that we've never seen before in that area. We are seeing Fekola well, folder/kiwi mineralization and we have seen a little bit of the sort of vain being style with small miners historically miners do it.
Geordie Mark: Okay, does that give you a sense of like scale for struck length or width size? What's kind of dimensions you're looking at, is it too early to tell yet?
Thomas Garagan: Its way, way too early to tell you. We have lower grade sections up to 30 meters wide in shear zone mineralization some of the higher grades, 5 to 6 meter range.
Clive Johnson: Maybe just, I clarify one thing and that's Steve's question about a greater stockpile if you want to make sure that doesn't mislead at all. So -- and Bill, jump in here, but just maybe I think we need to talk about affirming the models we use today and we have seen some better results than that. We said it before and we need to consider clarifying that. We're confirming our model, but dude also seen areas of better get us we obviously took discussion in the last conference call for Steve's alluding to maybe just cut that would maybe just clarify that because I don't want you to think that we have a high-grade lower graded, so maybe we just need to clarify that. Hopefully, that clarified it's a little bit.
William Lytle: What you're seeing is exactly what, quite. We're not saying that there's anything wrong with the model. We're not saying there's any this is what we're saying is that we're very confident we've got every for as we said last time, we have seen grade above what was expected, and we continue to be very positive on what the model is showing. Certainly, it's reconciled with as at least as good as the model has shown.
Clive Johnson: It looks like, okay, operator, there's no further questions?
Operator: That's correct.
Clive Johnson: We want to thank you, all for coming on, and we realize [indiscernible] and thanks for your continued following of B2Gold and your professional reports and your good questions and some of our on the length obviously thanks for them for the support we should be hitting a very exciting time. I have a question for you, the analyst, but I'm not going to put you on the spot. But my question, up at the question to you and then I would maybe have follow up conversation just because my question is about when you have a situation like this and something like Fekola coming on, what point do analysts start to step out a little bit more and start to say yes, after PF today, you can argue the value of value appears at 550,000 ounces, but when way when they get to the next two months these guys call it on I don't think many of you have been betting against our ability to get this mine going to have a lot of ounces for sure. So I guess as I said, I'm not putting in this, but maybe begin talk about this after, but I'm just really curious how you guys see that when you have such a huge impact coming up so to assume here that if someone shows some of our shows, that our clients you talk to sometimes I just like to get a sense of what you're hearing back is that the time so we need to get through to 6 on your belt, relationship, this is the real or directly set this year at some point starting to happen, sooner or later, you've got gold price moving and as I said, if you look at our chart and line up where with obsessed with a present if you look at our chart for the last explicable to see what did that given the time closer to Fekola and given our relatively very good performance and not equity et cetera. So that's quite a bit, I'm sure you're reading it right now. Maybe we can some of the if you want to invite you to give me a call, and I like your feedback into that that kind of thing, so we have a bit of the right idea of what to expect maybe there's a better way we can position ourselves or at least communicate to people because I know you understand on this call, but it's obviously so we'll leave it there. I would ask you to call me, so okay. All right, well, thanks, everybody, thanks for the participation. Thank you, operator.
Operator: This concludes today's conference. You may now disconnect.